Operator: Good morning, ladies and gentlemen, and welcome to OR Royalties Q4 and Year 2025 Results Conference Call. [Operator Instructions] Please note, this call is being recorded today, February 19, 2026 at 10:00 a.m. Eastern Time. I would now like to turn the meeting over to your host for today's call, Mr. Jason Attew. [Foreign Language]
Jason Attew: Good morning, everybody, and thank you for your attention today. We know that it's a very busy day of earnings, so we appreciate your time. Procedurally, I'll run through a prepared presentation, and then we'll subsequently open up the line for a question-and-answer session. For those participating online via the webcast, you can submit your questions in advance through the webcast platform. Today's presentation will also be available and downloadable online through our corporate website. We will be making forward-looking statements. And as I always say, the future is bright, but it's not guaranteed. So please read the fine print. All amounts are in U.S. dollars, unless otherwise noted. I'm joined on the call this morning by Frederic Ruel, the company's VP Finance and Chief Financial Officer, amongst others, the others indicated on Slide 3. When looking at OR Royalties full year 2025, the company had a remarkable year. OR Royalties earned 21,735 GEOs in the fourth quarter of 2025, which allowed us to end the year at 80,775 GEOs in aggregate. A figure that fell within our annual guidance range of 80,000 to 88,000 gold equivalent ounces and was effectively around the midpoint of our GEO guidance range when normalizing for commodity prices versus our budgeted ratios for 2025. Propelled largely by elevated precious metals prices in 2025, OR Royalties achieved the enviable triple crown of record annual revenues of $277.4 million, record operating cash flow of $246 million and record earnings of $1.10 per share facilitated by our peer-leading cash margins of nearly 97%. OR Royalties ended the 2025 year with $142.1 million in cash and most importantly, the company was completely debt free. Having previously paid off the entirety of our credit facility in the third quarter. With respect to our ongoing commitment to return capital to shareholders, OR Royalties declared and paid is a quarterly dividend of $0.05, marking its 45th consecutive dividend with over $279 million returned to shareholders to date from these distributions. The consistency and predictability of our dividend allowed the company to once again be included in the S&P/TSX Dividend Aristocrats Index as of late January 2026. Subsequent to quarter end, OR Royalties Board of Directors approved a base quarterly dividend of $0.055 per common share payable on April 15, 2026 to the shareholders of record as of close of business on March 31, 2026. Consistent with the past 2 years that I've been in the CEO seat, Fred and I will be making a recommendation to our Board on our dividend with the company's first quarter 2026 financial results, which if you were paying attention, we increased our dividend by 8% and 20%, respectively, in the last two first quarters of 2024 and 2025, respectively. For us, 2025 prove that boring is good. We generated record cash drastically -- we generated record cash, we drastically improved the balance sheet and stayed disciplined. It was these tenants that allowed us to announce in the past 3 weeks, two exciting and accretive transactions, which will provide further details later on in my presentation. 2025 will be remembered as a year of discipline in our capital allocation. OR Royalties transacted on only just $25 million in royalty and stream acquisitions. To put that number into context, over $9.3 billion in transactions were completed across the sector last year, which would include the large corporate consolidations of Sandstorm and Horizon. While we reviewed these opportunities, the rapid movement in commodity prices often created a disconnect on price and value. Furthermore, even where we identified value, we encountered internal red lines regarding structural security and contract terms that were simply -- we were simply unwilling to cross. Our team remained extremely active in 2025, but we prioritize value over volume. When deploying capital and assets with 15- to 25-year mine lives, we simply do not compromise on structural security or settle for NAV destructive investments. Because our near-term growth is already secured and fully funded, we possess a strategic advantage many peers lack, the luxury of walking away from bad deals to wait for the right ones. We'll now pivot to the company's financial performance for the full year of 2025. For those that are interested, quarterly numbers for Q4 '25 can be found in the appendix of today's presentation. As previously noted, annual revenues were a record for the company and effectively track the higher year-over-year precious metals prices. 2025 net earnings of $1.10 per basic common share for the year were a record and represented a substantial increase over 2024. Most importantly, 2025 saw yet another year-over-year improvement in cash flow per share, the eighth consecutive year of cash flow per share increases and yet another record for the company. And finally, positive annual adjusted earnings of $0.88 per basic common share. At the end of 2025, the company had 22 producing assets with the vast majority of our key contributing royalties and streams coming from what we define as Tier 1 mining jurisdictions and just under 75% in aggregate, and that includes gold equivalent ounces from Canada, the U.S. and Australia. If we were to include Chile as Tier 1, we'd be closer to 90%. Looking at the commodity breakdown, 95% of our 2025 GEOs came from precious metals, gold at 65% and silver at roughly 31% with the remainder coming primarily from copper. This percentage breakdown was based on OR's budgeted commodity price ratios for 2025. When applying peak spot prices for gold, silver and copper achieved earlier in 2026 to our 2025, GEOs earned. Our direct revenue exposure from silver would have been 45%. No matter which price deck you're using today, OR Royalties provides investors with material silver exposure. Agnico Eagle's Canadian Malartic Complex delivered a fantastic year for both themselves and ourselves in 2025, once again outperforming our original expectations thanks to better-than-expected grades at the Barnat pit experienced throughout the last calendar year. At Mantos Blancos, we've seen an extended period of stability as it relates to plant throughput. While we've continued to see some quarterly variability of the process silver grades at the mine, we expect that 2026 should prove largely consistent year-over-year versus vis-a-vis 2025. Touching briefly on CSA. After a strong start to the year in 2025, things slowed down in the back half, which can be largely attributed to Harmony's ongoing ownership transition. Harmony's focus right now continues also on maximizing the asset value over the long term as it has a multi-decade view of the asset. Consequently, we expect our new partners to take their time on setting the mine up to form well over this extended period, instead of pushing too hard for increased production in the short term. We'll all have better understanding soon enough as based on public disclosure, we're expecting an updated 2026 CSA copper and silver production guidance for Harmony next month with an updated long-term mine plan to follow in the third quarter of this year. I mentioned previously that at the end of 2025, we had 22 producing assets. However, as of today, that number stands at 23, thanks to the very recent acquisition of a 1.5% NSR royalty at Buenaventura San Gabriel mine. Of note is that our transaction with Gold Fields will actually close later this quarter. but we've still included San Gabriel on the list for today. Buenaventura's newest mine in Peru just poured its first gold in December of 2025. And as such, we're largely expecting San Gabriel to ramp -- to be in a ramp-up phase for this year and the next based on plans outlined by Buenaventura. At the same time, San Gabriel is expected to grow into being a meaningful GEO contributor to/or from 2028 onwards. We'd like to congratulate our new operating partner in Peru on getting the mine developed and into production on time and on budget. In addition, Ramelius Resources announced last night that first Dalgaranga ores were delivered to their Mt Magnet plant. Once those tonnes start getting processed, the number of our producing assets will jump to 24. Similar to San Gabriel, Dalgaranga will be ramping up this year and the next and growing into a material GEO contributor to OR from 2028 onwards. This provides a perfect segue to our other announcement yesterday, the acquisition of the Gold Fields royalty portfolio. While we're excited about the strategic depth of the entire portfolio we purchased, the crown jewel is undoubtedly the addition of Buenaventura's newly commissioned San Gabriel mine. This asset checks every box. It provides immediate additive GEOs in 2026 and possesses a long reserve life with significant embedded growth, driven by Buenaventura's plan to expand throughput to 4,000 tonnes per day by the end of the decade. We're happy to be adding a producing asset in a well-established mining jurisdiction in Peru, and we couldn't ask for a better local operating partner in Buenaventura. A Peruvian-based miner with over 70 years of experience developing, operating and expanding mines in the country. For more on San Gabriel or any of the other new royalty assets acquired from Gold Fields, I would refer you to last night's press release or you can also reach out to my colleague, Grant Moenting, over the phone or e-mail. Flipping to Slide 9. We view the Namdini transaction as a textbook execution of our strategy to double down on a known high-quality asset. By acquiring the additional 1% NSR, we have secured a 2% royalty in total, on a mine that is already producing and ramping up. This transaction removes development risk and adds immediately high-margin gold ounces to our 2026 profile from an established operator in Shandong Gold. While the ramp-up hasn't followed the 2019 technical report to the letter, seeing is believing. Our team was boots on the ground in January, and that visit was a positive tipping point. We didn't just see a mine coming online. We saw operational excellence and community integration that convinced us Namdini will be a cornerstone asset for Shandong for decades, far outliving its initial 15-year reserve life. Once we saw the tangible upside doubling down to 2% royalty wasn't just a choice, it was the easiest decision we made all year. Flipping to Slide 10. And moving back to Canada and a very familiar asset within our portfolio, the Island Gold District. After a bit of an uncharacteristically bumpy year at Island Gold in 2025, our partner, Alamos Gold, rebounded nicely earlier this month by outlining his concrete plans for yet another Island Gold District expansion. And most notably, a 25% increase to the tonnage to be mined from the high-grade Island Gold underground mine. Alamos now expects to eventually be able to ramp up to 3,000 tonnes per day of OR mine from Island underground versus the previous expectation of 2,400 tonnes per day. This is great news. And the great news is that the shaft infrastructure currently under construction is already being built to handle this capacity. So no additional work on this front is required. As noted by our partner, the shaft construction will be complete later this year, meaning that as the underground development ramps up over the time to support 3,000 tonnes per day, the GEOs from our royalties will follow. As a reminder, the real benefits to OR from Island Gold come from what is effectively a triple multiplier effect, higher grades, higher throughput and a higher royalty rate. As noted on the slide, Alamos' expanded and accelerated mine plan is also anticipated to transition on a greater proportion of production toward OR's 2% and 3% NSR royalty. With the blended life of mine royalty at around 2.34%. Long story short, as our partner continues to execute on its plans to expand production at its flagship mine, Island Gold, Island Gold, while at the same time, become one of OR Royalties most important assets from a GEO contribution perspective by the end of this decade and beyond. Late last week, Agnico Eagle provided a comprehensive update as it relates to our cornerstone asset, the Canadian Malartic Complex. As is customary at this time of year, there were certainly some key items of note as it pertains to OR Royalties. First, the asset's 2026 production guidance increased a little bit versus what we had been projected this time last year, but also was in line with our own internal expectations. As a side note, the first quarter of 2026 will now include first production from East Gouldie, over which we have a 5% NSR royalty coverage via the ramp. And this has been advanced forward several times over the past couple of years. More exciting, however, were material increases to Malartic's production guidance for both 2027 and 2028. With 2028 notably expected to realize an increase of approximately 80,000 ounces to 735,000 ounces per annum when compared to 2027, which is anticipated to be driven by growing contributions from East Gouldie at Odyssey. Overall, when we look -- when looking at 2026 to 2028, production is expected to be sourced from the Barnat pit, increasingly supplemented by OR from Odyssey and low-grade stockpiles. Odyssey is expected to contribute approximately 120,000 ounces of gold in 2026, approximately 240,000 ounces of gold in 2027 and approximately 450,000 ounces of gold in 2028 as mining activities ramp up. Second, our operating partner explicitly stated that it is advancing on a technical evaluation of Shaft #2 at the Odyssey mine. With the preferred shaft location now confirmed near Shaft #1 and close to what they believe to be the center of gravity of the deposit. The evaluation, which incorporates the year-end 2025 mineral resource update will assess the potential for producing an incremental 8,000 to 10,000 tonnes per day. The technical evaluation is expected to be completed at the end of 2026, with permitting studies scheduled to begin in the third quarter of 2026 and potential formal permit submission early 2027. Agnico noting that after getting through all the permitting and development of Shaft #2, the project would be positioned for initial production in 2033. 2033 also marks the first year of expected production from Marban, over which OR Royalties has a blended NSR royalty of around 90 basis points. The technical evaluation envisions a 14,000 to 16,000 tonne per day open pit operation, producing between 120,000 to 150,000 ounces of gold annually over a 12-year life of mine with construction we currently anticipated to start in 2031. Exploration at Canadian Malartic remains a massive value driver for OR royalties. Agnico has budgeted $32.6 million for a comprehensive 190,700-meter campaign in 2026, deploying up to 20 rigs to unlock the full potential of the property. Crucially, the drill bit is focused exactly where we want it, exploring the lateral extensions of the massive East Gouldie Deposit and the emerging Eclipse zone. Both of these high priority targets fall under our 5% NSR royalty, offering the highest leverage to exploration success in our entire portfolio. Now on to Slide 12. Where we've outlined both the company's brand-new 2026 GEO delivery guidance, as well as the updated 5-year growth outlook to 2030. Starting with 2026. OR Royalties expects GEOs earned to range between 80,000 and 90,000 GEOs this year at an average cash margin of approximately 97%. The 2026 guidance assumes ramp-ups at both Dalgaranga and San Gabriel, as well as the increased geos from our now 2% NSR royalty at Namdini. As previously noted on the call, we're expecting relatively consistent year-over-year GEOs earned from Capstone Copper's Mantos Blancos mine, while we've taken a more conservative view on CSA as Harmony works through its ownership transition and prior to us getting more complete updates expected from Harmony. Putting it all together, 2026 represents marginal growth over 2025. With a much more significant step changes expected in 2027, thanks to expectations of increasing GEOs to be earned from many of the assets already discussed today, but I'll point a few out, Canadian Malartic, Island Gold, Dalgaranga, San Gabriel and Namdini. In addition to new mines expected to come online, such as Hermosa Taylor. This trend of increasing year-over-year growth should then continue between 2027 and 2030. Our new 2026 guidance reflects the consensus commodity price ratios at the beginning of February for both gold to silver and gold to copper. The former obviously has more influence on our potential GEOs earned for this has been set to 73:1, while the current spot ratio stands at approximately 64:1. We are applying the exact same methodology as we have in all our previous years of the company's existence, and we'll continue to be transparent with respect to how these ratios influence our GEOs earned throughout the coming year. Switching to the updated 5-year outlook to 2030, we're now happy to say that our expected 50% growth over the next 5 years, best what we had outlined last year looking to 2029. Unsurprisingly, expected additional GEOs from brownfield expansions such as Island Gold, as well as large-scale greenfield underground mines, including Hermosa Taylor and Windfall are still being included in the outlook as they had been for the 2029 outlook. So this begs the question, what's new? What a difference a year makes, especially when that year resulted in an incredible performance from precious metals prices coinciding with the intentions of more streamlined project permitting processes, most notably in jurisdictions like Canada and the United States. As a result of the Osisko Development recent success in advancing its flagship Cariboo project in BC, both on the permitting and financing front and is now being included in our 2030 outlook. The same can be said for Solidus Resources Spring Valley project in Nevada, which received its final federal permits in the summer of 2025 and subsequently secured its full financing to move forward. We're expecting first gold from Spring Valley by mid-2028. And while a portion of the payments under OR royalties there don't kick in until the first 500,000 ounces of gold have been recovered, we're confident enough we will see meaningful GEOs from the project in 2030. We're also cautiously optimistic on United Gold's Amulsar project in Armenia, where construction is expected to be complete later this year, enough so to have included in our 2030 outlook. And finally, though much less impactful than the other three have mentioned. We've included South Railroad given Orla expects to see first gold and silver production prior to the end of calendar year 2027. I will once again reiterate as I often do that all this growth you see here out to 2030 is completely bought and paid for. In other words, there is absolutely zero contingent capital associated with OR Royalties realizing its GEO-delivery profile over the next 5 years. Moving to Slide 13. We you'll see we provided some more details on projects that made the cut for our 5-year 2030 outlook versus those that didn't. Some minor comments on those that you see on the slide in the not included section. First, we have full faith and confidence in Agnico Eagle and its plans at Upper Beaver. Agnico noted last week that they are now expected to be ramping up the eventual mine in 2030. Given typical delays in payments versus production, we've elected to push it back by a year. Second, as it relates to Eagle, the process in terms of finding a new owner has slowed down a bit versus the previous public expectations. While we're still expecting the announcement of a new owner sometime in this calendar year, we have elected to wait for more clarity before including this important asset in our outlook. Finally, on Cascabel, we are very pleased with the recent announcement regarding Jiangxi Copper's intention to acquire SolGold in the project. However, we expect Jiangxi to take a different view on project schedules, specifically how it relates to sequencing the high-grade block cave project versus the lower grade TAM open pit. Finally, we'll end the formal part of our presentation on Slide 14, which outlines the current state of OR Royalties balance sheet. At year-end, we were completely debt-free and held just over $140 million on the balance sheet. The cash position is strong even after we bought back and canceled approximately $38 million worth of shares in the fourth quarter of 2025, all completed subsequent to OR Royalties going debt free. The average cost per share of these buybacks was $48 -- approximately $48, inclusive of the 2% Canadian government tax. Our much improved balance sheet is one of the key achievements we are proud of in 2025. And it's something I've been keen on addressing since I joined the company back 2.5 years ago, at which time for context, we held over CAD 300 million in gross debt. Beyond the cash, our balance sheet is also primed and ready to position to allow us to act on potential new and accretive opportunities. Thanks to a completely untapped credit facility of $650 million with an additional uncommitted $200 million accordion. Following a quiet 2025, defined by capital preservation, we have pivoted to active deployment in the first quarter of 2026. With the consolidation of the Namdini royalty and the addition of the Gold Fields portfolio anchored by the producing San Gabriel mine, we have secured immediate cash flow and strengthened our long-term pipeline. Looking ahead, we remain active in the market, targeting assets that contribute to our industry-leading 50% growth trajectory through to 2030. However, our priority remains on accretive value creation. We will not chase growth for growth's sake or compromise our return criteria. And with that, I'd like to thank everyone for listening today. We'll now open up the line for questions, as well as questions posted on the webcast. If we don't get to all the questions on the line, we'll make sure we respond offline to those that we don't get to cover on this webcast. Operator?
Operator: [Operator Instructions] Your first question comes from Tanya Jakusconek from Scotiabank.
Tanya Jakusconek: Can you hear me?
Jason Attew: We can hear you, Tanya.
Tanya Jakusconek: Okay. I have a few questions, if I could. I wanted to start just first one is easy, just on guidance. Just wondering how I should think about your year. I understand that this ratio forecast, but if we were to assume constant gold and silver pricing, how should we be thinking about the quarter-over-quarter performance? Again, just high level, not asset by asset.
Jason Attew: Thank you for your question, Tanya. And look, we obviously -- our methodology that we're applying for 2026 is consistent with our methodology we've always used for which we use the consensus pricing for the year that -- for 2026, and that consensus price deck is 7:1. Certainly, as we've seen some volatility with respect to silver, in particular, and as I mentioned in my remarks, the silver price is currently about 64:1. So if you were to use the 64:1, the roughly 30% silver revenues would move to close to 45%. We don't look at quarter-over-quarter guidance in terms of the ratios of gold to silver. Again, we will update yourself and the analysts and the investment community as our quarters are reported, but that's our methodology. We certainly do have very good leverage to silver. And if silver does continue around kind of the 64:1 ratio, as I said, there's a significant uptick in our GEOs that would be earned for which, again, just to give you some specific guidance around 2026 would add an incremental, let's just say, 4,000 to 5,000 GEOs over the course of the year, if again, it stayed at 64:1.
Tanya Jakusconek: Okay. Maybe another way of asking the same question is do you have any mine ramp-up in the first or second half? Or any new things that are coming on that I should kind of think about just in my production profile?
Jason Attew: Not really, apart from what we've disclosed. I mean, obviously, the biggest contributors from a silver perspective are Mantos Blancos CSA followed by Gibraltar. And as I said in my remarks, Mantos, it doesn't correlate in a meaningful way to the copper grades. And obviously, what we've seen at Mantos Blancos is a very stable throughput, but we're still seeing some variability as it relates to the silver grade and the silver reconciliation. And this is why, as we thought when we put our 2026 guidance, we'd essentially look at historically where they were trending and essentially give that reference or instruction for 2026. There certainly could be some upside if, again, the silver variability is less extreme than what we saw in 2025, but that's what we're essentially suggesting for Marketplace. And Mantos Blancos would be, again, the biggest variation with respect to our silver deliveries in 2026.
Tanya Jakusconek: Okay. Maybe I'll move on to just the M&A or the transaction environment. You did your buying the royalty portfolio from Gold Fields. Just wondering because the [ Bristow ] the [ Namdini ] one, which you did, which you doubled down on, just wondering if there's other opportunities to double down on other assets that you already know and own?
Jason Attew: Yes, great question. Really good question, Tanya. So I would say the opportunity set at what we're looking at is pretty significant. Our corporate development team and our technical team is flat out looking at opportunities similar to what we had in 2025. I would say it crosses the gamut of assets that we already know and understand to brand-new assets to portfolios in senior companies much the same as what we saw in 2025. So to answer your question, yes, there are some opportunities of assets that we're quite familiar with that we might actually have exposure to, as well as new opportunities. But as I've always said and our team has always gone through, one of the major filters that we do have is with respect to geography. We're very, very proud of the fact that -- and we think we differentiate ourselves versus our peers of having a majority of our assets in Canada, the U.S. and Australia. So that certainly is one of our filters that was what we think about acquiring new assets in 2026.
Tanya Jakusconek: And what would be your sweet spot where these transactions land? Is that $100 to $500 or $200 million to $500 million range? Just trying to understand.
Jason Attew: Yes. I think it really depends on a case-by-case perspective, whether, again, our focus is on either cash flowing royalties or something that will actually impact our 5-year outlook. Look, we've obviously got -- and Fred has done a fantastic job of having lots of capacity with respect to our revolving credit facility. We are seeing opportunities, as you said, $100 million to $200 million, but we're also seeing opportunities from $750 million all the way up to $1 billion. So we're in the midst, and there's a lot of these transactions that are in flight. But what I would say, if it's going to be a big chunky transaction like the $750 million to -- we absolutely understand the return metrics. We have to have these as accretive transactions. And as I said, for these larger transactions, they have to really be contributing GEOs either now or within our 5-year outlook.
Operator: [Operator Instructions] Your next question comes from Derick Ma from TD.
Derick Ma: I wanted to ask a question on the 2030 number. Guidance came in below expectations and at least certainly below my estimates. You mentioned Cascabel, Eagle and Upper Beaver. What is the quantum of geos that you would expect from those assets in 2031 and beyond, let's say? And does the 2030 number include minimum payments from Cascabel?
Jason Attew: So just will answer the first -- last question first. The 2030 would include the minimum payments from Cascabel. I would direct you to our presentation that we just went through in terms of the aggregate upside slide -- Slide 13 in our presentation deck. If you aggregate all this optionality or all these potential GEOs that could fall within our 2030 guidance, we're looking at another 20,000 to 30,000 gold equivalent ounces in aggregate.
Operator: Your next question comes from Brian MacArthur from Raymond James.
Brian MacArthur: Or same sort of question. 2030, did you just assume basically flat at Mantos? Or what did you do with Mantos out in 2030, just given the reconciliation that we've been seeing or not seeing.
Jason Attew: Yes. So with respect to Mantos, Brian, you're absolutely on point. It's effectively flat to what we have seen in 2025 and what we're expecting for 2026.
Operator: And there are no further questions over the phone at this time. I will turn the call back over to Jason.
Jason Attew: Great. Thank you very much, Julie. We thank you for your time today. Hopefully, we'll see some of you in person in the coming weeks as we run the gauntlet in the upcoming conference circuit. And if not, and you have questions, observations, insights about our business, we'd be very happy to discuss them. Please reach out to Grant, Heather or myself, and we very much look forward to engaging with you. Thank you again for your time today.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Thank you.